Operator: Good day. And welcome to the Constellium 2016 Third Quarter Results Conference Call and Webcast. All participants will be in listen-only-mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask a question. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mr. Paul Blalock, Investor Relations. Mr. Blalock the floor is yours, sir.
Paul Blalock: Thank you, Mike and good day, everyone. And thank you for your interest in Constellium. I would like to welcome everyone to our third quarter 2016 call. On our call today is our Chief Executive Officer Jean-Marc Germain, our Interim Chief Financial Officer, Corinne Fornara and our newly appointed Executive Vice President and Chief Financial Officer designate, Peter Matt. After the presentation, we'll have a Q&A session. A copy of the slide presentation for today's call is available on our website and as mentioned today's call is being recorded. Before we begin I'd like encourage everyone to visit the company's website and take a look at our recent filings. Today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements include statements regarding the Company's anticipated financial and operating performance, future events and expectations and may involve known and unknown risks and uncertainties. For a summary of specific risk factors that could cause results to differ materially from those expressed in the forward-looking statements, please refer to the factors presented under the heading Risk Factors in our annual report on Form 20-F. All information in this presentation is as of the date of the presentation and we undertake no obligation to update or revise any forward-looking statement as a result of new information, future events or otherwise, except as required by law. In addition, today's presentation includes information regarding certain non-GAAP financial measures. Please see the reconciliations of non-GAAP financial measures attached in today's slide presentation which supplement our IFRS disclosures. I would now like to hand the call over to Jean-Marc.
Jean-Marc Germain: Thank you, Paul and good morning, everyone. Thank you for your interest in Constellium. I will start out with a quick recap of the financial results in the quarter and also provide some high-level perspectives on my first 100 days or four months actually tomorrow at Constellium I will ask then Corinne to walk you through the financial details on each of our three segments. And finally, I’ll wrap it with some comments on what we learned from the investor feedback study, our priority is going forward and some high-level color on our near and longer-term performance. Turning now to page five, the highlights of the third quarter include shipments at 377,000 metric tons are in line with last year. Our revenue at EUR1.2 billion is down 5% compared with last year that’s mainly due to a product mix shift. Our net income at EUR50 million for the period compares with net loss of EUR45 million last year. Adjusted EBITDA of EUR97 million increases 23% over last year, which reflects the stronger personnel improvements in our P&ARP segments of 49% actually at our Muscle Shoals facility which showed a very significant improvement and contributed EUR26 million to adjusted EBITDA in the quarter. We also had solid execution in our automotive structures and industry segments at 13% and stable result in our aerospace and transportation segment. Lastly, as we have noted, we have announced as we are calling the $150 million PIK Toggle Notes to reduce our gross debt. Turning to slide six, I want to briefly give you an update, this is my first few months at Constellium. Let me start by saying that I am very pleased to be here. I believe we have a great opportunity to unlock shareholder value in Constellium. First, I had spent a lot of time getting to know the Constellium assets, their capabilities and the people of the company. And I have also taken action to address some near-term operating issues. I have met with many of our customers, investors and analysts. I am listening very much and I feel very welcome and I appreciate the very realistic and often candid feedback that I have received thus far. I believe this dialogue is critical to strengthening our communications process and building long-term credibility. As many of you are already aware, we recently finalized a perception study to solicit the views of many of past, present and future investors. I will come back to the conclusions of this study later in our remarks, but I do want to take this opportunity to thank you all for your time and contributions to this survey. You’ll desire to better understand our strategy, to align expectations and to drive greater consistency and execution have been held and are well-received. Third in the recent weeks, I appreciate the senior leadership team. In September, Didier Fontaine left his position as CFO of Constellium to pursue another career opportunity. I appointed our group controller, Corinne Fornara as Interim Chief Financial Officer. And two weeks ago, we announced that Peter Matt was joining Constellium as EVP and CFO designate, it will be starting - yes, started already with us, but he will be starting as CFO at the beginning of 2017. Peter knows our industry very well and he brings well financial expertise through his extensive experience within the financial community. It will help bring a greater discipline to the financial and strategic functions of the company. In addition, Jack Clark whom I've known for seven years now, joined Constellium in October as Senior Vice President, Manufacturing Excellence and Chief Technical Officer. Jack will supervise all of the environmental health and safety, lean engineering, manufacturing functions and he will also help us improve our cancel allocation process jointly with Peter. Jack, 35 years of experience in the aluminum Industry at other large competitors and his expertise in manufacturing excellence are a perfect fit to take Constellium to the next level. Finally, we appointed Ryan Jurkovic as Senior Vice President and Chief Human Resources Officer who joined us early this month. I have previously worked very closely with Ryan and I know that he will bring tremendous value for our human capital function. And as we think about how we best allocate our capital, how we best allocate our human resources, I am very happy to have Peter, Jack and Ryan help Constellium to do those things well. I look forward to working with them as longer and as well as the entire leadership team to build long-term value at Constellium. Short, as I mentioned last quarter, I believe that it is timely development of Constellium to sharpen our focus. That initiative did work on an operational, strategic and financial platform of our business and I will come back to this a little later in my comments and give your perspective over the next few years. Lastly, as one of our main priorities, we will be taking active measures to reduce our debt. As the first debt, we are calling the PIK Notes, this will reduce our gross debt, our interest expense and it is a reflection of our strong conviction in our liquidity position. Of course, executing our priorities won’t be smooth but you can count our need to focus, execute and communicate in our challenges, opportunities and successes. I will now hand it over to Corinne to cover our third quarter results.
Corinne Fornara: Thank you, Jean-Marc. On slide eight, Constellium achieved EUR97 million in adjusted EBITDA, representing 23% growth, for an increase of EUR18 million over last year. This was driven by P&ARP segment growth of EUR20 million largely from Muscle Shoals, as well as the EUR3 million improvement in AS&I while [indiscernible]. The costs from holding and corporate increased by EUR5 million as compared with last year, mainly due to the EUR3 million of one-time charges related to [indiscernible] executive management changes. We continue to expect between EUR2 million to EUR3 million of charges per month in [indiscernible]. Turning to slide nine, now the P&ARP segment had relatively flat shipments of 265,000 tons compared to last year, which included relatively stable constant demand on the Q3 to Q3 comparison. Automotive rolled product shipments were up 33%. Demand driver for all significant improvements as part came from our Muscle Shoals facilities which contributed EUR26 million in adjusted EBITDA to IFRS results. The metal management issues are resolved and we are successfully implementing several cost reduction initiatives at Muscle Shoals. In addition, our project in-source UBC procurement in North America for recycling is progressing as such. Also 11.13 [indiscernible] which was high called over 14 billion camps last year, we’ll benefit shortly from the installation of [indiscernible] to further expand capacity. As you’ve seen, we already launched the two-producing auto body sheet finishing line one at Neuf-Brisach and the other in OTV with UCG in Bowling Green, Kentucky. Both finishing lines are in the qualification phase and on schedule. On the right side of the slide you can see the top adjusted EBITDA 49% from EUR40 million in the third quarter last year to EUR60 million in the third quarter of this year and adjusted EBITDA per ton improved by 48% from EUR153 last year to EUR226 this year. Overall, the past segment generated 62% of the third quarter adjusted EBITDA. And key segments now on slide 10. Shipments of 59,000 tons were flat compared with last year. As increases in transportation and industry shipment offset the seasonal decline in aerospace volumes. Going forward, we expect solid increment in our European aerospace business and good aerospace plate production performance. For A&T segment, we’ll begin a new contract with Airbus effective January 2017 for five years. As we have previously told you, this contract will result in lower contractual volumes, but a better mix of higher value added products. In addition, A&T will benefit from zero plan manufacturing capability and cost space. Overall in A&T, we are experiencing modestly better adjusted EBITDA with lower shipments in aerospace to be offset by air transportation volumes. Further, we remain confident in the continued volume ramp-up with the Airbus A350 and the Bombard C-Series [indiscernible]. We have also been focused on registering our AIRWARE manufacturing cost and we are pleased with the progress we are making. As we have noted in the past, the profitability of AIRWARE is very attractive. Lastly, the new pusher furnace in Ravenswood remains on track. These should improve our cost position in the short run and add more than our product capabilities and provide additional capacity to grow in long run. On the right side of the page, you can see that A&T's adjusted EBITDA and adjusted per tons were relatively flat compared with last year. Turning to slide 11 now for AS&I segment, shipment of 53,000 tons were up 4% compared with last year with continued strong demand in automotive sector and an improved demand in soft alloys. In Q3, 2016 AS&I reported a solid adjusted EBITDA of EUR25 million, representing an increase of 13% compared to last year. Adjusted EBITDA per ton reached EUR471, an increase of 10% over last year. Overall, this segment continues to have an improved product mix and good [indiscernible] performance especially as new product [indiscernible] in cash management and automotive sector continue to drive the need for facility expansion. The Georgia and Mexico projects that we've previously announced are now well on their way and expected to start production in late May 2017. Lastly, our European soft alloy business has shown improvement. On the right side of the slide, you can see that AS&I had another third quarter with growth in adjusted EBITDA and adjusted EBITDA per ton. Turning to slide 12 now. Cash flow from operating activities were EUR67 million, down from EUR80 million last year and adjusted free cash flow was relatively flat with last year at negative EUR7 million. Our adjusted free cash flow for the quarter reflects continued high levels of capital expenditures as we continue invest in our growth projects. On slide 13, our liquidity remains strong and stable at EUR800 million which includes EUR618 million in cash and cash equivalents. I shall also mention that during the quarter we've received $22 million in cash as the final project price adjustment related to the right acquisition was completed. I will now hand it back to Jean.
Jean-Marc Germain: Thank you, Corinne. So, as I mentioned to you on our last call, we undertook a detailed shareholder feedback study that included a significant number of interviews with buy and sell side analysts and current, former and prospective investors. And I'd like to cover with you the key takeaways from this study. We learn that many of you believe that we have attractive end markets, a balanced portfolio and excellent long-term potential. However, there was consistent feedback that the company needs to clarify its strategy, in a disciplined and its deployment of capital reduce its leverage and communicate more clearly with investors. These all will be a focus of going forward of Peter and myself and the management team. And we also commit to communicate with you on a regular basis and to keep you priced of development in our business. Turning to slide 16, I want to take the opportunity to give you some color of what I see as our path forward. First of all, let me share some of my early conclusions on the company. Constellium is a great mix of businesses with some really unique capabilities, a number of very exciting opportunities in our core end markets and a strong team in place to execute on them. The new management will be highly focused on operational excellence, disciplined capital deployment and financial flexibility. As it relates to capital we will be vigorous in allocating our capital where we have attractive return opportunities. We've instituted a much stricter return framework and where we are not confident that there is an attractive return we will not make the investments. I think our approach to the second cap [ph] line is very good example of this. We have said that we will not stop spending on the slide until we affirm OEM commitment. As we have said to you we are in discussions with a number of potential other customers. And I am optimistic on the successful outcome of the discussion. But again, we will not begin spending on these projects on the expectation that they will come. In addition, we intend to enhance our dialogue with customers, investors and analysts and we look forward to communicating with you regularly. Next we are in the middle of finalizing our long-term operational, strategic and financial plan. And we expect to communicate our strategy to you in March 2017 after the year end results. However, I do want to make a few comments about what I see at this point on a go forward basis. Looking in the near term we expect Q4 to a typical seasonality and be similar and be actually better than Q4 of last year. longer-term over the next couple of years we expect annual growth in adjusted EBITDA in the high-single digits over the next three years. Capital expenditures are likely to be approximately EUR275 million in 2017 this is a little bit higher than our prior guidance is also EUR75 million lower than our current spending and our 2015 spending. More specifically we are continuing to improve our asset integrity our growth investments remained as planned, but we are seeing additional growth opportunities in our automotive structures and industry segment. This business continues to perform as you have seen in the most recent quarter. We have a global leadership in this business, we are winning market share and I remain very confident in these prospects. Overall, again I want to remind you that this capital expenditure that we're forecasting for 2017 represents a EUR75 million reduction from this year's levels Finally, our objective is to be free cash flow positive in 2019 and cash flow I mean free cash flow not adjusted free cash flow. The challenge in this timeframe will be successfully ramping up our auto body shipments and renewing our can contracts. One of our contracts in particular has terms that may affect our ability to achieve our free cash flow positive objective in 2019. Regardless of this, we are committed to free cash flow will explore a range of strategies to achieve our objective of being free cash flow positive in 2019. Lastly, I would also like to take this opportunity to briefly address our perspective on the aerospace market, which is become quite topical these days. Aerospace order book is full in Europe and our advanced products like AIRWARE are doing well albeit in relatively small quantities. Therefore, at present, we are less bearish on the short-term demand trends than some of our North American competitors. We are however slightly little conservative than our competitors on long-term demand projections. Overall in the A&T segment, we do expect slightly lower aerospace volumes to be offset by higher transportation industry defense volumes. The aerospace market remains a goal focus for our company both for its long-term growth prospects and attractive return profile. Turning to slide 17 as noted earlier our recent growth investments are well positioned to meet the auto body ship demand. Constellium have recently started two previously announced auto body sheet finishing lines one in our [indiscernible] facility in France and the other one in our Bowling Green, Kentucky manufacturing facility where we operate jointly and Market our North American auto body sheet products with our partner UACJ. Both of these lines are in the customer qualification phase and have commenced commercial production. These launches represent an important step in global automotive body sheet strategy, but we believe we will drive incremental growth for many years to come. So, the clear message should be, we have begun what we said we would begin on time and we are on target to reach the financial benefits of this automotive strategy. I look forward to updating you regularly on the status of these projects which are significant contributors to our long-term success. Continuing on to slide 18, I wanted to update you on our AS&I projects. As I mentioned earlier, this segment continues to do well with new business in auto structure and also crash management systems and we expect our automotive extrusions business to be benefiting from recent continue to grow as a result of this. On new $20 million investment in White, Georgia which is in the upper section of the slide and our 10-year investment in Mexico bottom section of the slide provide growth at very attractive returns and just for sake of clarity in case you are wondering about our canceled allocation discipline, we have not invested in older buildings you are seeing on these charts but only half of one of the two buildings in the front of this picture. As previously noted, we expect startup of these facilities in late 2017. Within the automotive sector there have been some recent concern that have emerged given the reduction in SAAR rate in North America. Obviously, any reduction in build rates of the vehicles we are on we made back in provincial production going forward. But I remain confident that even in this scenario our AS&I segment will continue to grow. On slide 19, third quarter results clearly demonstrate significant progress at P&ARP solid execution in AS&I and a stable performance at A&T. In particular, the significant operational improvements are Muscle Shoals facility where a material highlight this quarter and there is more room to go. In addition, as this current evidences there is what I call the power of the portfolio within our balance of packaging, aerospace and automotive exposures and we believe this to be positive to our company's success. Next, the group results at EUR97 million in adjusted EBITDA represent a solid performance in my view. We also believe that through the combination of continuous improvement and benefits from our growth investments, we can continue to improve this financial performance. Next, we do expect typical seasonal softness in Q4 due to increased holidays, lower customer consumption patterns can start as well as greater planned maintenance at our customers. However, as indicated, we expect 2017 to be stronger than 2016. Next, we have made significant progress in reshaping our management team the new team is now in place and focused on executing our plan and very confident in their capability. Our current capital investment program will support for earnings growth of over next several years and we do expect capital spending to materially decline from the high order marks of 2015 and 2016. Lastly, we recognized the company’s leverage is high, we will look forward for opportunities reduce leverage and increase financial flexibility and this is really driving force behind our focus in free cash flow. In conclusion, I am pleased with Constellium's performance this quarter and we look forward to working with you as we build a great company. Before we turn it over to questions, I would like to ask Peter to just introduce himself. Peter?
Peter Matt: Thanks, Jean-Marc and good morning, everyone. This is day nine for me, so I'm still drinking through the proverbial fire hose. I'm very excited to be at Constellium. For those of you who know me you know that I have spent a lot of time around businesses like Constellium. While my time here has been short, I can see that there is a tremendous amount of opportunity and I am very supportive of the disciplined approach Jean-Marc is taking to capture it. I believe there is upside for the company in operating consistently continuously improving deploying our capital efficiently and communicating clearly. I look forward to working with the Constellium team and all of you to create value. With that, operator we’ll now open the lines for questions.
Operator: Thank you, sir. We will now begin the question and answer session. [Operator Instructions] The first question we have comes from Curt Woodworth of Credit Suisse. Please go ahead.
Curt Woodworth: Good morning.
Jean-Marc Germain: Hey, Curt.
Curt Woodworth: Jean-Marc, could you drill down a little more specifically into the aerospace market outlook and it seems like your order book is still relatively full in Europe, so does that suggest you are not seeing much evidence of destocking in the plate market and then I didn't quite catch it, did you say that you think that the A&T EBITDA will grow year-on-year even though you are going to have lover volume and a negative mix impact?
Jean-Marc Germain: Right. So, we are seeing a little bit a different picture than what some of our competition is seeing and I think our greater exposure to Europe is actually a big factor in it. Yes, there is a bit of destocking that’s going on, we’ve actually suffered from it in the third quarter in aerospace specifically and so we do see that but to a lesser extent than others. I did say that we expect our A&T segments in its totality to be higher EBITDA in 2017 and in 2016 and we do expect Q4 to be a better quarter than Q3.
Curt Woodworth: Okay. Great. And then with respect to auto body sheet growth both in Europe and Bowling Green, can you give us a sense of how the volumes cadence will look next year and any guidance on how the margin profile during that ramp up, those ramp ups?
Jean-Marc Germain: So, we are maintaining our initial ramp up curve with a little bit of a faster ramp up in the U.S. and Europe. So, we are talking off 40,000 to 50,000 tons in the U.S. and the 34,000 tons in Europe next year and ramping up to ultimate capacity of a 100 to 1000 tons within two, three years from that. So, that is still very much the case. The ramp up is - we are at the moment a lot of testing going on with customers and we will have few tons that are being sold commercially in the fourth quarter, but nothing re-material. The other aspect to your question was about margins, I mean clearly when you start you're at a negative margin in the first few months, that’s where we are when we exit 2017 will be in more stable run rate margins as we have - as we see in the rest of our business, but there will be a gradual ramp up in margin virtually zero to slightly negative to full margin at the end of next year.
Curt Woodworth: Okay. Thank you.
Jean-Marc Germain: You're welcome.
Operator: Next, we have Matthew Fields, Bank of America Merrill Lynch.
Matthew Fields: Hi, Jean-Marc and welcome Peter. Thanks, first of all it's kind of applaud your effort on the investor perception outreach just from what I hear from investors it was sort of needed. A little bit more color on why I think it will be great you mentioned EUR26 million of EBITDA this year up to last year, can you give us a little color on the mix in volume at Muscle Shoals?
Jean-Marc Germain: Yes, I think both - most of the improvements that we see relates to cost management, you know performance at the plant level, focus on recovery, focus on throughput, making sure we reduced to fixed cost and the team there have done a tremendous job at getting their act together and redeem for 18 and their very tight conditions. So, kudos to them and three of that operating performance much more than better volumes or better mix or whatever. So, very sustainable improvements in my view.
Matthew Fields: And then Novellus has talked about walking away from certain can contracts sort of the last couple of quarters to make room for auto capacity. Can you possibly talk a little bit about that market are you able to pick up additional customers leverage that are prices for yourself when you go to renew contracts?
Jean-Marc Germain: We’ll not be a specific in my answer as what your question suggests, but again it is a market that we see becoming a little bit tighter but we don’t want to make sure that we don’t get carried away I mean expansion our business comes potentially at a very high capital price and as I mentioned capital discipline is paramount. So, I want to make sure that as we grow some parts of our business, we do it in a capital disciplined fashion.
Matthew Fields: Great. And then what was the one you mentioned the contract that might inhibitor your ability to be free cash flow positive. Is there something going on with one of your major can contracts that sort of would cause results to deteriorate from here?
Jean-Marc Germain: Obviously, we've got confidentiality provisions in our contracts, and I want to make sure that I stick to them. What I can say that we've got one of our contracts has given the customer the opportunity to extend payment terms. It's a one-off event that could happen or not in 2019. And again, because I want to be more transparent and not surprise anybody I am putting it out there and saying we've got this risk ahead of us, it's a one-off event. We'll be working to mitigate it all, all ends are on deck to make sure that we meet our objective of being free cash flow positive in 2019 this can happen and this further reinforces our efforts to make sure we meet the targets in 2019. But again, it's a one-off and in terms of meeting that profitability of this contract is going down or whatsoever. It's just the facility that as was historically granted to them and they may take advantage of it or not.
Matthew Fields: But it's just for one year.
Jean-Marc Germain: Yes, it's a one year impact, we bite the bullet in '19 and that's it. And I know you've said at the end of the contracts, at the end of the contract, it reverses to well it little reverse to normal. Because those extending payment terms make a lot of sense to me.
Matthew Fields: All right, great. Thank you very much for all the color.
Jean-Marc Germain: Welcome. Thank you.
Operator: Next we have Jorge Beristain of Deutsche Bank.
Jorge Beristain: Hi, good morning Jean-Marc. I guess just one question I had in terms of the recent win that you guys flagged on the pusher 3008. It seems like at the fairly low volume vehicle if do you have any other updates on any other similar models that you might be winning or would small pusher production that sort of be indicative that your kind of winning lots of little small ones but just trying to get some color as to why you're flagging that one?
Jean-Marc Germain: So, in some cases regarding with as I tell you on successes. We know there as we can because it's a two-way street to that customer. So, sometimes we can, sometimes we can't. it's true that our approach is to diversify our as much as possible a mix of customers and be less dependent than one platform or one car or one model or one OEM than the other. So, that's the context of the that we should be looked at from. And this specific model gives us opportunities in both segments and actually it's a nice illustration actually we have the synergies we have between our ore body sheet segment and our AS&I segment where we become really recognize from the customer standpoint solution providers in both areas of their need. So, it's bringing success and we're very happy we won that piece of business. So, a little bit of commercial here for us we felt very good about it.
Jorge Beristain: Okay, well. That make sense. And just again sorry to keep going back aerospace but just concretely can you just tell us how the heavy plate market is looking for 2017, I mean where that the industry build rates going to continue. But could you just give us some color as to how that could be affecting plate demand?
Jean-Marc Germain: Well, rather than comments on the market I will give you a little bit of outlook for what we think it means for us. So overall when we said and done we expect our aerospace volumes to be slightly down next year, as Corinne mentioned. We'll have a better mix of product. And then some of that will be I mean most of that will be offset by progress in our other non-aerospace increasing material and all in all we expect kind of stable volumes for A&T and better profitability.
Jorge Beristain: And then just getting pass 2017 do we start to see a little bit of a rebound into 2018 of the heavy plate for you guys?
Jean-Marc Germain: I'm not making assumptions on the basis of hopeful developments in the markets. So, the guidance I'm giving kind of over the next three years doesn't assume an improvement or deterioration in the market. So, we're looking at next year is going to be little bit softer than this year. And from there we continue on that same level of activity.
Jorge Beristain: Okay. Thanks very much.
Jean-Marc Germain: And if it's better we'll take advantage of it, but at least we're not counting on the markets to help us.
Operator: And next, we'll have David Gagliano of BMO Capital Markets. Please go ahead.
David Gagliano: Hi, thanks for taking my questions. I just had a couple of clarifying questions and a follow up. first of all, you said I just want to make sure you said mid or I'm sorry you said upper single digit adjusted EBITDA growth on average over the next three years is that correct?
Jean-Marc Germain: Yes, annually.
David Gagliano: Annually okay. And does that include all the expansions and body and weight and et cetera that already been announced.
Jean-Marc Germain: Yes.
David Gagliano: Okay. And then I was just wondering if you could sorry, go ahead.
Jean-Marc Germain: Yeah what has been announced is what we discussed today, right. There is - that line and the first line in Bowling Green.
David Gagliano: Okay. And then...
Jean-Marc Germain: And sorry, just and just for clarification the second line in Bowling Green would have an impact anyway on the three-year outlook in EBITDA. It takes two years to build it and then first year you're just ramping it up, so even if you are to decide tomorrow which I said we're not deciding tomorrow could have an impact from those three years of EBITDA.
David Gagliano: Great, I appreciate that. and then last clarification. I just wanted - is it possible to break that down by each of the main segments in terms of rough ranges of that what you're expecting for adjusted EBITDA within each of the main segments?
Jean-Marc Germain: Yeah. it's definitely possible and that's how we build our plans, bottom up and changing our expectations, but I'm sorry I will not be sharing that with you.
David Gagliano: Okay. Well, I appreciate, Peter Matt welcome abroad. Glad to hear your...
Peter Matt: Thank you.
Jean-Marc Germain: Thanks, David.
Operator: And next we'll have David Levenson of PKAM [ph].
Unidentified Analyst: Hi, good morning. Thanks for taking my call. I have two questions, the first one is you mentioned deleveraging an increased flexibility has an objective for purpose. I'd like to hear some clarification on this, are you seeking of the capital increase at one point or you just thinking about growth and growing into your capital structure. My second question is on operational improvements just on a lot already. There was tangible results which is big news. I'd like to know whether there is more that we should be expecting or just pretty much it and from now on an improvement in EBITDA will come from growth in volumes. Thank you.
Jean-Marc Germain: So, I'll answer the first part of the question and the second part of the question and then turn the first part to Peter. But in terms of operational improvements, our growth in EBITDA, so thank you for acknowledging our improvements and they were solely hard fought. There is more to come. So, we will continue to improve on what we have, it is very important. The company strategy cannot only rest for putting more money and to growing the company and then getting EBITDA from that, but that will also be another aspect of our growth in EBITDA. So, expect some further operational improvement and obviously expect contributions from the CapEx we deploy to our growth projects. And Peter I'll let you comment on that the first question.
Peter Matt: Yes, currently we're not contemplating a capital increase. We don't have a current need we have significant liquidity and we've got a high level of confidence in our plan. Of course, we'll evaluate all opportunities of the time that we have the need. But right we don't see if that we have a need.
Unidentified Analyst: Thank you.
Operator: Next we have David Deterding of Wells Fargo.
David Deterding: Hey, guys. Thanks for taking my questions. Just a quick one, I would applaud you for the debt paydown in the quarter with the cash and taking care some of the debt at the Muscle Shoals entity. Can you just give us a quick snapshot on how you're kind of thinking about the rest of the debt that fits down there that entity if we're going to ultimately collapse the balance into one or how do you think about that?
Peter Matt: So, it's Peter again, I'll take that. We haven't made any decisions yet. We obviously watch the markets closely. We've got some time to consider and we know we've got kind a very good market access so we’re going to approach this financing opportunistically but we’re definitely watching it so…
David Deterding: Great. Could you just remind us how much secured capacity you have at the Constellium corporate level?
Corinne Fornara: Roughly EUR400 million.
David Deterding: EUR400 million, thank you. And then my last question is just on the super early days here in the U.S. with the new Presidential election, but some things reported on the Wall Street Journal yesterday just talking about potential new presidency looking at the EPA standards with a clean view any kind of early thoughts on what that might mean and could that change in the aluminum and the auto or is that just more talks than action? Thank you.
Jean-Marc Germain: Thank you very much for a very easy question. I think the policies of the President Elect are not fully clear yet and one wouldn’t expect them to be clear, but I don’t think there was much there is much that we can’t comment upon, so we’ll be watching for what this means. I think that the first of all on automotive, aluminum and automotive it’s a wrong term trend, it’s continuing it’s well launched and I don’t think that it’s not a ship that turns on a dime and getting better mileage for vehicle who societal need as well as cap payment date is extended. And then you know there’s plenty of other items around and certain prediction from China that could be a bothering for us. There is when we talk about EPA regulations and there is a lot of investments we need to make in our factories to be compliant till we get through the access can be a little bit less CapEx for us so it’s very much, very early to say what this all entails. And we’ll have to watch for what comes out of the first 100 days and first year and too early for us to tell.
David Deterding: All right. Thank you for taking my questions.
Operator: Next we have Sean [ph] of Deutsche Bank.
Unidentified Analyst: Hi, there and thank you for taking my questions. So, one quick clarification on CapEx year-to-date in 2016 you spend about $234 million I believe you’ve got it to about $350 million of CapEx for 2016 is that still in order, is that still the expectation here please?
Corinne Fornara: Yes, it is expectation after as we said that we’ve officially launched the new line in [indiscernible] we have lot of payment planned in Q4 so go ahead to be October [indiscernible] but we still plan to be at 360 at the end of the year.
Unidentified Analyst: Okay, thank you. And then when you talk in terms of the production build-out in Neuf-Brisach and Bowling Green when should we expect to see volumes actually begin to pick up across the organization?
Jean-Marc Germain: That’s going to be next year.
Unidentified Analyst: Okay, so next year we should see them start to pick up. And then lastly, last question just on working capital what should be expect for in terms of working capital in the fourth quarter and going forward in ‘17? I know you had the UBC issue that you’re working on so how should we be modeling that?
Corinne Fornara: So, on the UBC part, the insourcing on UBC we’ll quite need a working capital of roughly $40 million split between the end of this year and beginning of next year and working capital we have remained stable, post [indiscernible] we remain stable.
Unidentified Analyst: I'm really sorry I didn’t understand that did you say 340 in terms of working capital?
Corinne Fornara: 40, 40 for UBC sourcing we plan to have a working capital need for UBC insourcing of $40 million.
Unidentified Analyst: Okay. And that’s for 4Q ‘16 or ‘17?
Corinne Fornara: End of, you will see this after on contrary we see that’s at the end of this year for [indiscernible] the beginning of next year. The time we have that things.
Unidentified Analyst: Okay. But otherwise, do you foresee working capital in ‘17 being relatively flat or source it is?
Corinne Fornara: No, no relatively flat.
Unidentified Analyst: Okay. All right. Thank you very much. I appreciate it.
Operator: Next we have Christian Georges of Societe Generale.
Christian Georges: Yes, thank you very much. Couple of questions on ore metals. Is there a current level of profitability that you reached $26 million I think you mentioned in dollars? I mean is this something you would characterize as normalized ore metals after the troubles we had in the last year. Effectively are we considering the metal's profitability is now in 9 with the rest of the P&ARP division?
Jean-Marc Germain: Yeah, so it's EUR256 million in Q3. I'll remind you that Q3 has favorable seasonality impact because it's high peak season for can sheet consumption. People drink more beers and sodas in the summer. Now, we believe that going forward I mean it's pretty much in line with what we said we will do maybe a little bit better in terms of the full year '16 reasons. And going forward, we expect as I said to have a little bit more operational improvements going into 2017. So. yeah it looks like it's a normalizing but there is still some room to go.
Christian Georges: Okay. And as we go into [indiscernible] and the US [indiscernible] starting both on the 1000 tons. And when should we consider 2000 tons committed free delivered in shipments and when should we expect those lines to at least to reach breakeven roughly?
Jean-Marc Germain: Okay. So, we've comment on when they get to full capacity it's 19 and there was a ramp up. and I think the ramp up will be affected by when models get large and all that. so, it's not a technical ramp up really initially it's more commercially. And in terms of when the breakeven I think I mentioned earlier that we get to a situation where our EBITDA normalized at the end of '17 out there. So, they should be fully profitable to the average level of EBITDA expectations in 2018.
Christian Georges: Okay. And Bowling Green do we account for it at internal division or whether is it going to be a considered as an associate, have you decided yet.
Corinne Fornara: We consolidate them for the accretion. So, you won't see them in the EBITDA as reported. But we'll provide you with the data.
Christian Georges: Okay. So, you now forecasted would be those year operating level.
Corinne Fornara: Yes.
Christian Georges: Of 15%. And my last question is on CapEx. So EUR350 million this year, EUR275 million next year. and in 2018 so you don't decide so second BAW line what would you expect CapEx roughly to be from on a normalized basis. But I would assume by 2018 you have really more the investment where should we
Jean-Marc Germain: So, as I said, we had some prior guidance and CapEx. And we've kind of what I'm saying here is compared to what we said in the past, we are a little bit higher on CapEx than what we said in the past. Specifically, for '18, '19 on a go forward basis, we're in the process with Clark [ph] to review all our capital spending over the next five year and really decide upon what we do, when we do it. So, it is a bit premature for me to answer your question. But when we meet again and there will be specific investor they in March 2017 as I said I expect as to be able to answer your question with more visibility and fidelity to our process.
Christian Georges: Okay, very clear. Thank you very much.
Jean-Marc Germain: Welcome.
Operator: Next we have David Olkovetsky of CQS. Please go ahead.
David Olkovetsky: Hi, Jean-Marc. How much money are you talking about as possible maximum impact from the changes to payment terms that you've referenced earlier that should be coming in 2019?
Jean-Marc Germain: I will not give you the number, but I will say that if I'm now talking now in 2017 about something that may happen in 2019. It is a sizable enough amount that again it can swing us from free cash flow to free cash flow negative. And I will leave it there if you allow me.
David Olkovetsky: Okay, of course. And then you mentioned it's may or may not the free cash flow positive in '19. So, presumably you have some sort of CapEx number in mind for '19, can you just provide us what your - obviously, your preliminary thoughts are as of today?
Jean-Marc Germain: I told Christian and so I will do that March of '17.
David Olkovetsky: Okay. And although just back on the cash outflow are you expecting a 100% reversal of that in 2020 if it were to happen that?
Jean-Marc Germain: It should reverse but not in 2020. It may reverse, if it happens it may reverse in 2020 it would definitely by 2021.
David Olkovetsky: Okay.
Jean-Marc Germain: That’ll be a positive.
David Olkovetsky: Okay. Positive traffic. You see at those professions and then apology I missed what you said on the potential second line in Bowling Green how you’re thinking about what I thought you said was as of right now it’s not moving forward can you just give us an update on where you are in terms of how full that line is for customers that you’re confident are looking to use the aluminum permit?
Jean-Marc Germain: We haven’t earned interest in the second line nobody is stepping forward with enough commitment that I think I can make that go to launch it.
David Olkovetsky: Okay. Do you think they’re waiting to see how the first line performs?
Jean-Marc Germain: That’s one element and it makes a lot of sense to me that they would, that’s one element absolutely.
David Olkovetsky: Okay. And then can you just clarify what your EBITDA guidance is included if it’s including Bowling Green not as where we confused rapid consolidation versus I just didn’t understand roughly your statement?
Jean-Marc Germain: So, Bowling Green is the JV we have is consolidated on the equity method so it doesn’t have any impact on EBITDA.
David Olkovetsky: Okay, got it. So…
Jean-Marc Germain: The EBITDA from the JV is in fact into my EBITDA guidance.
David Olkovetsky: Okay. Got it. And then earlier in the call you talked about taking the PIK Toggle Notes out as a first step I believe were your words, so maybe if you can just give us a sense how you’re feeling about the capital structure as it is stands today and then when do you think further steps are taken I mean the timing wise is your focus on producing interest or is your focus on producing indebtedness?
Peter Matt: It’s Peter speaking. So, our focus is on reducing both indebtedness and the interest expense and we’re looking at all different approaches to do that from internal resources so Jean-Marc had indicated we’re taking very close look at our capital spending budgets, we’re taking very close look at what we can do to make our operations run better from a cost standpoint and therefore hopefully generate greater cash flow and we’re also looking at things like working capital and so forth so we’re evaluating all of these tools.
David Olkovetsky: Okay, I understood. And then if I could just ask one more question on why is prior guidance had been $90 million to $100 million I believe if I'm remembering correctly on a sort of go-forward basis starting I think it was March of this year is that still the number are those are the numbers that we should be thinking about or have these cost improvements in another thing that you mentioned, are they sort of permanent or they add sort of an amount to that EBITDA outlook?
Jean-Marc Germain: Especially the way to look at it for this year and as I mentioned there is a little bit more to do.
David Olkovetsky: Okay. Thanks very much.
Jean-Marc Germain: Welcome.
Operator: [Operator Instructions] Next we have Ryan [ph] of Cowen.
Unidentified Analyst: Hey, thanks for taking my question. I just wanted to get a quick any thoughts on the Elaris [ph] transaction as well as secondly what your view point is on AS&I outlook for next year so we continue to think the kind of growth that we’ve been experiencing this year? Thanks.
Jean-Marc Germain: Sure. Well, the Elaris [ph] transaction is under review at the moment I think I like the multiple, so that’s I think we’ll see on this acquisition. And but it just indicates the fact that worry then attractive business Elaris [ph] is automotive and aerospace, we’re bigger in automotive, we’re bigger in aerospace and we’ve got packaging as well that they don’t have. So, I think it’s great for them and good luck with the review will be my comments and the transactions. Now AS&I, I mentioned that as we are increasing our guidance for CapEx the main reason for that is more opportunities or growth in AS&I so I expect AS&I to continue on a nice gross trajectory. Now that being said when we spend money in this business you get a nomination for a program, you build your factory or your lines and when you deliver two-year latter. So, the growth may not be linear, but it’s a very nice trajectory that we have in going forward basis, it’s a most specifically I expect them to be doing that’s our next year then this year.
Operator: Next we have Ralph [ph] of Citigroup.
Unidentified Analyst: Hi, thanks for taking my question. Congratulation on the quarter and quick housekeeping question on factoring, what’s the gross continual factoring do you have by the end of 3Q, was this play between the Constellium box and the voice box and now say what’s display between committed and non-committed lines?
Corinne Fornara: So, level of factoring at the end of September was more than EUR500 million same level as of the end of June and more or less EUR80 million more than at the of December. 200, at the end of September 200 are related to EUR200 million related twice.
Unidentified Analyst: Got it. Thank you. And how was the roughly 500 relates to committed that’s uncommitted line?
Corinne Fornara: Uncommitted.
Unidentified Analyst: Are they all uncommitted?
Corinne Fornara: Yes.
Unidentified Analyst: Okay. Understood, thank you.
Corinne Fornara: Yes, all uncommitted, sorry.
Operator: Matthew Fields, Bank of America Merrill Lynch.
Matthew Fields: Yes, just a couple of follow-up. In aerospace, I know we’ve talked about this a lot, but sort of it seems like kind a stable volume lower aerospace which means probably lower margins overall that you are expecting EBITDA growth is it really sort of profitably measures that’s driving that is it the pusher furnace in Ravenswood or debottleneck, can you talk about sort of?
Jean-Marc Germain: There was a bit everything but if you look at our Q3 numbers, we are less aerospace more --so less a multi and our EBITDA per ton is the same, right. So, we shouldn't have mentally it's dangerous to think that aerospace in super high margins and the rest of the business is low margin actually, it’s not that when we're managing properly, we get comparable levels of margin.
Matthew Fields: Okay. And then and extrusions just want to drill down a little bit on growth rates there, how are you driving EBITDA per ton growth which has been pretty substantial over the last couple of years is it mix, is it newer products, better contracts like what’s the driving force between behind that sort of EBITDA per ton growth?
Jean-Marc Germain: All of these and also some very good job and operational excellence in this business. When the team there is really focused and back to the basics of the business looking at productivity, tons per hour, recovery getting smart and everything they do and it’s a nice firing in all cylinders.
Matthew Fields: And then what’s the capacity of the new the fact facilities in Georgia and Mexico?
Jean-Marc Germain: I don’t think I want to comment too much on this and...
Matthew Fields: Hello?
Operator: I’m sorry to the management team we’ve currently, we see connected, but we lost audio momentarily. [Operator Instructions] Thank you for your patience everyone. We do have management location back on the line. Please proceed, sir.
Jean-Marc Germain: All right. Thank you, Mike. And sorry for the technical difficulty. And we're actually talking through a cellphone now. So, reception will be not as good - actually it’s a last question we are going to answer for today. So, the question was about the size, the capacity of the plants in Georgia for instance. So, the way to think of it is in this business you have small incremental capital investments that generate revenues for a specific model vehicle. So, the way to think of it is, if we're investing EUR20 million and we've got some returns expectations and this is a program that lasts for about seven years of production. This is how you need to think of what is the revenue potential, what is the EBITDA potential, how does that contribute to our returns. And typically, we are looking for 20% internal rate of return on the deployment of that kind of capital. So, once I've said that you can figure out when I put EUR10 million of capital in this business, this is kind of revenue and EBITDA profile I get whether the next seven to nine years. All right that will be my answer to your question. With that, I think it's time for us to wrap up. In closing, just want to say that we are pleased with the third quarter results, so I think it give us a good foundation on which to build post-2017. I want to remind you of the high-level guidance, so we are giving you for the future. So, high single digit growth annually and adjusted EBITDA over the next three years. Capital expenditures is a little bit higher than what we communicated in our prior guidance around EUR275 million for next year and that is mainly on account of those exciting growth opportunities we have in our AS&I. We have this objective, very firm objective to be free cash flow positive in '19. I mentioned one-off impact that couple trip us one way or the other. But all hands are on deck. We will recognize our leverage is high, our debt is high. We need to work on it and that's free cash flow management is super important in this regard. And finally, we look forward to updating you more fully on our strategy after the results of the full year we'll have been posted in March of 2017 we'll organize an Investor Day around in that timeframe. And we again thank you very much for your interest in Constellium and your participation on this call today. Thank you.
Operator: And we thank you, sir and to the rest of the management team for your time also. Again, we thank you all for attending today's presentation. At this time, you may disconnect your lines. Again, we thank you all for your patience take care and have a great day, everyone.